Operator: Good day, ladies and gentlemen, and welcome to the Extra Space Storage Inc. Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Jeff Norman, Vice President, Investor Relations. Sir, you may begin.
Jeff Norman: Thank you, Andrew. Welcome to Extra Space Storage’s fourth quarter and year-end 2017 earnings call. In addition to our press release, we have furnished unaudited supplemental financial information on our website. Please remember that management’s prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act. Actual results could differ materially from those stated or implied by our forward-looking statements due to risks and uncertainties associated with the company’s business. These forward-looking statements are qualified by the cautionary statements contained in the company’s latest filings with the SEC, which we encourage our listeners to review. Forward-looking statements represent management’s estimates as of today, Wednesday, February 21, 2018. The company assumes no obligation to revise or update any forward-looking statements because of changing market conditions or other circumstances after the date of this conference call. I would now like to turn the call over to Joe Margolis, Chief Executive Officer.
Joseph Margolis: Hello, everyone. Thank you for dialing in. I have been CEO for little over a year now. And over that time, I’ve enjoyed meeting with many of you, and I look forward to continue to meet and talk about Extra Space and Storage throughout 2018. But mostly, I’ve enjoyed working with a great team of talented and motivated people at Extra Space. I’ve learned a lot over the year and I’m excited to continue learning and move towards the future. One year ago on this call, we discussed the concerns about new supply and deacceleration of revenue growth. At the time, we said that while these concerns were valid, the industry was healthy, and we were confident that our diversified portfolio, best-in-class operating platform and our talented people would produce solid results. We projected 2017 would be characterized by a gradual return towards historical and sustainable revenue and NOI growth levels. That is exactly what happened. Strong occupancy together with increased rental rates to new and existing customers led to same-store revenue growth for the year of 5.1%, NOI growth of 6.9% and core FFO growth of 13.8%. We exceeded our guidance in each of these categories and we are seeing the predicted soft landing play out. We also stated the along with the challenges presented by new supply would come opportunities. In 2017, we added 156 stores to our third-party management platform, approximately half of which were new developments, and we have a large pipeline for 2018. Year-to-date, we have brought on 19 managed stores and we expect to add well over 100 before the year is over. In addition to revenue streams, these managed stores give us scale, density in markets and a larger dataset. Our managed portfolio, as well as our joint ventures provide a valuable acquisition pipeline that helped fuel future growth. These pipelines and relationships were important to us in 2017 with over 80% of our acquisition volume coming to off-market opportunities. Despite a competitive market, we invested just over $600 million in acquisitions, 16 of our 2017 acquisitions were new Certificate of Occupancy assets in key markets, which like our C of O deals from previous years are performing ahead of projections. We also continue to see increased opportunities from developers to purchase new stores in various stages of lease-up. Our 2017 acquisitions exceeded our guidance of $400 million, due to $210 million off-market portfolio that was presented to us late in the fourth quarter by one of our longtime partners. As we projected, our acquisitions were largely back-end loaded, with 85% occurring in the fourth quarter. Finally, I would like to provide an update on the 36-store portfolio that we sold into a joint venture on November 30 for $295 million. We retained a 10% interest in the properties, and one of our existing joint venture partners, TIAA real estate account, purchased the remaining 90%. We continue to manage all 36 properties for a fee and we now have the opportunity to earn a promoted return in the joint venture. We’ve put the proceeds from the transaction to work the next day through a series of 1031 exchanges into other properties. These 1031 exchange properties have an average age of three years and average rental rate over $20 a square foot and strong demographics. As a part of this transaction, we agreed with TIAA to extend and revise the terms of our existing 24-storage joint venture. This enabled us to monetize and embed and promote, increasing our ownership in the venture from 25% to 34%. We also placed new debt on the portfolio and modernized its terms, including reducing the preferred return to current market levels. We are pleased with the outcome of these mutually beneficial transactions and the long-term value they create for our shareholders. We are also pleased to have renewed and strengthened our relationship with TIAA for the long-term. I would now like to turn the time over to Scott.
Scott Stubbs: Thank you, Joe, and hello, everyone. As you may have noticed in our earnings release last night, we have made a change to one term. We’ve historically provided FFO results, as well as FFO as adjusted. Going forward, we will refer to the latter as core FFO. We have not changed our methodology or the types of adjustments we make, but we have changed the name to provide consistency with other publicly traded REITs. Our core FFO for the quarter was $1.12 per share, exceeding the high-end of our guidance by $0.02 and core FFO for the year was $4.38 per share. The quarterly beat was primarily due to stronger than expected property performance. Occupancy for the same-store pool ended the quarter at 91.9%, a 40 basis point year-over-year increase. Throughout the quarter, we increased rates to new customers in the low to mid single digits, and we continue our existing customer rate increase program without changes. We continue to evolve our balance sheet and plan to remain leverage-neutral in 2018. We added unsecured debt throughout the year and have increased our unencumbered pool by $1.4 billion. We have access to multiple sources of capital and have plenty of capacity to fund our future growth. Last night, we provided guidance and annual assumptions for 2018. Our new same-store pool will increase by 86 to a total of 787 stores. We expect to change to the same-store pool to positively impact our revenue growth by 25 basis points over the year. Same-store revenue growth is expected to increase between 3.25% and 4.25% in 2018. Same-store expense growth is also expected to increase between 3.25% to 4.25%. The increase in expenses is driven by difficult 2017 comps, with pressures specifically from property taxes in Florida, Illinois, the mid-Atlantic and Texas. Our revenue and expense guidance results in same-store NOI of between 3% and 4.5%, which we believe will be towards the high-end of the self-storage sector and will compare favorably to other REIT sectors. For 2018, we expect to invest $400 million in acquisitions, $255 million of which is closed or under contract. Our guidance assumes acquisitions be financed for $50 million in OP Units and the remainder through debt. Seller pricing expectations are still high and we’re committed to being disciplined. We will only transact at prices that create value for our shareholders. Our full-year core FFO is estimated to be between $4.55 and $4.65 per share. In 2018, we anticipate $0.05 of dilution from value-add acquisitions and an additional $0.16 of dilution from C of O stores for total dilution of $0.21. Our investment in C of O stores and value-add acquisitions continue to improve the quality of our portfolio and generate long-term growth for our shareholders. I’ll now turn the time back to Joe.
Joseph Margolis: Thank you, Scott. As we move forward in 2018, I expect this year to look similar to last year. We continue to experience solid fundamentals, steady demand, strong occupancy, and increasing rental rates to new and existing customers. We expect solid external growth through acquisitions and third-party management. We continue to focus on and invest heavily in technology, in our digital marketing and revenue management systems continue to evolve and improve. Our bench step at all levels of the company has never been stronger, and I believe our team is second to none in the storage sector. New supply will continue to present operational challenges. And I do not, in any way, want to diminish its impact on some of our stores. But as I have said before, this is a micro market business and the impact of new supply will vary across our portfolio. In 2017, we benefited from our highly diversified portfolio, our ability to capture disproportionate share of demand and a team with a track record of strong execution. I believe we will benefit from these same factors in 2018. We remain focused on creating consistent FFO growth per share in order to maximize the long-term return on our investors’ capital without taking unacceptable risk. I want to thank you for the trust you put in this management team as stewards of your capital. I have been involved with Extra Space continuously since 1998, as a partner, as a Board member, and now as CEO. And I’m as confident as ever about the strategy of this company and our team’s ability to execute. Let’s now turn the time over to Jeff to start the Q&A session.
Jeff Norman: Thanks, Joe. In order to ensure we have adequate time to address everyone’s questions, I would ask that everyone keep your initial questions brief. If time allows, we’ll address follow-on questions once everyone has had the opportunity to ask their initial questions. And with that, Andrew, go ahead and start our Q&A session.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Jonathan Hughes with Raymond James. Your line is now open.
Jonathan Hughes: Hey, good afternoon. Thank you for the time. So the midpoint of guidance calls for about 135-ish basis point slowdown in same-store revenue growth this year. I’m just curious which of your markets contributed to that decelerating outlook the most, eight of your top 10 actually saw accelerating growth into the end of the year?
Joseph Margolis: Go ahead.
Scott Stubbs: Okay. Yes, Jonathan, as we’ve done our budgets, we obviously did ground up budgets, looked at every single store, looked at the supply. The deceleration is implied in a couple of areas. One is the burn-off of the impact from the change in same-store pool or the benefit from SmartStop, so that affects it obviously, and then also the impact of new supply in certain markets. If you look at those individual markets, some are impacted more than others. But overall, I would tell you, it’s probably more of the ones you hear about a lot, for instance, Florida.
Joseph Margolis: When I look at our bottom 10 markets for projected 2018 revenue growth, the ones that are large contributors to us are the New York Metro, Miami, D.C. The others in our bottom 10 are relatively small markets.
Jonathan Hughes: Okay, that’s helpful. And then maybe one of your peers did actually quantify the negative impact at the store level on revenue growth relative to non-impacted stores. Could you may be provide this number and take a stab at maybe how much lower that revenue growth is at those stores impacted by supply?
Joseph Margolis: So that that’s really a difficult analysis to do with any specificity. We study real hard each of our stores that have new competitors opening. And sometimes, you have a new competitor opening within a mile and it has absolutely no effect. And sometimes, you have a new competitor opening on the outskirts of the trade area and it has a very large effect. So to try to predict based on the number of competitors opening how monetarily it will affect every store and roll that up, that’s a tough thing. You need to take into account the distance, the number of competitors, who’s going to run the new competitors, traffic patterns, whether it’s across the river, or the other side, there’s just many, many variables. But that being said, when we create our guidance, we created both from a top-down and a bottom-up approach. The top-down is the revenue management team’s impact. The bottom-up is the district managers at each store identify and are provided with each of the competitors that we know of that are going to open in their trade area. And each store’s individual budget is created with, based on the projected impact to that store. And that’s all rolled up and used to create our guidance.
Jonathan Hughes: Okay, that’s a great color. I appreciate it. I’ll jump off. Thanks for the time.
Scott Stubbs: Thanks, Jonathan.
Joseph Margolis: Thank you.
Operator: Our next question comes from Wes Golladay with RBC Capital Markets. Your line is now open.
Wes Golladay: Hey, guys. Actually had a question on those variables that determine the impact of supply. But what do you think is the most important? Is it the actual radius? Is it the rationality of the developer? Is it the price point that you’re at? And then, yes, take that one. And I guess, maybe a follow-up would be, what is your actual supply outlook for 2018 and 2019?
Joseph Margolis: So certainly, distance is a very, very important factor. We also think the operator is a very, very important factor. We would much rather compete with a mom-and-pop than one of our public peers. After that, you have a lot of other factors, saturation and traffic patterns and population growth, and all kinds of other things that go into the mix. And then the second question was about development outlook? Is that correct?
Wes Golladay: Yes, the supply outlook, I guess, maybe for your markets from a bottom-up’s perspective, maybe 2018 and 2019. Are you still seeing delays on deliveries?
Joseph Margolis: So we are still seeing delays on deliveries, that’s true. It’s interesting when you look at the supply outlook on our markets, we really have, in many cases, kind of not intuitive results. So I’ll give you a couple of examples, because that was a real bunch of gobbledygook. So in Atlanta, for example, we have 67 stores. And Atlanta is a market that there is a great deal of development. But when we look at how many of our stores are going to be impacted by new development in 2018, we only see six and that number was two in 2017. So even though that’s a market, where there’s a lot of supply coming because of the locations of our stores, we’re a little more optimistic about that market. And in fact, when we look at our projected revenue growth for that market, it’s above our guidance. It’s above our portfolio average. On the other end of the spectrum, you could look at a market like Portland, where we have 13 stores and 10 of them are going to face new competitors in 2018, after three of them facing new competitors in 2016. So that’s a market, where our projected revenue growth is below our portfolio average. And we could go through 67 markets and give you all those stats, but it gives you a sense of how we created our guidance.
Wes Golladay: Yes. Maybe we’ve done a presentation someday. But yes, thank you for the answers on that.
Joseph Margolis: Thanks, Wes.
Operator: Our next question comes from Jeremy Metz with BMO Capital Markets. Your line is now open.
Jeremy Metz: Hey, guys. Just following up on some of your supply commentary, are you seeing any shift in development or even acquisition yields, as buyers presumably adjust some of the rent growth expectations here?
Joseph Margolis: I really haven’t seen any movement in cap rates for acquisitions. You would think giving the operational landscape and the rising interest rates, the cap rate should be going up. But there is so much interest in this sector, I think, because compared to other sectors, it’s still pretty good that we just haven’t seen any meaningful expansion of cap rates. The development yields is kind of an interesting question. One thing we’re seeing is that in our ManagementPlus platform, when we produce a budget for a developer, we’re getting a lot more pressure from the developers that our projections aren’t good enough, and they’re pushing us and they need a better budget to bring to the bank. So that’s telling me that given their costs, our projected budget doesn’t hit a required yield. So to me that is a something that is going to control somewhat the pipeline of development.
Jeremy Metz: Okay. And in your opening remarks, you did talk about seeing an increase opportunity for stores that are in lease-up. So I’m just wondering what’s your appetite really is today in taking on some of those additional lease-up for C of O type of deals?
Joseph Margolis: Yes. So we have a strong appetite for buying good deals that meet our return requirements. And what we’ve seen in the market is a number of developers at delivered stores, they’ve gone to a certain point in lease-up, maybe it’s stalling out, maybe they feel they just want to take their chips off the table and they’re willing to sell beforehand. If we can negotiate a price that we think provides value to our shareholders, we have enough dry powder, enough capital to execute. But if we can’t get to that price then we’re going to sit on the sidelines.
Jeremy Metz: Appreciate that. Last one for me is just in terms of the movements for the quarter, how did those net effective rents compared to the fourth quarter last year? So baking into – baking in the discounts and then just how are they trending so far in 2018 as well?
Scott Stubbs: Yes. So our Street rates in the quarter, as well as into the current year have been about 5%, and our achieved rate has been closer to 3%, and that for the fourth quarter and then into this year.
Jeremy Metz: Thank you.
Scott Stubbs: And then in terms of discounts, I would tell you, we’re discounting larger dollar amounts, but fewer tenants. But at this time of year, you’re giving discounts to just about everyone anyway. So we are discounting slightly more.
Jeremy Metz: Thank you.
Scott Stubbs: Thanks, Jeremy.
Operator: Our next question comes from Todd Stender with Wells Fargo. Your line is now open.
Todd Stender: Hi, guys. Just when you look at your size, scale and sophistication and Joe’s remarks of competing against the REIT’s versus the mom-and-pops. What are some of the defense measures for lack of the better term that you roll out when a new competing store opens up? It would seem to me that you’d be able to match price or write out any discounting that the new competitions are offering a longer than they can, maybe just talk about how you compete potentially longer than the new build?
Joseph Margolis: Sure. So I could tell you that we do have a plan that we developed a playbook that sets out a series of actions that stores undertake when faced with new development. I could tell you that it’s mostly reactionary, because as much as we think we know, they’re – it’s all a little different. Specifically what we do, I’m not really willing to tell you what our plan is.
Todd Stender: Okay. And then not sure if I missed this, but just talk about the C of O deals that we had seen kind of, I guess, demand waned as 2017 went along for the REITs, but you guys had an appetite obviously in Q4. Can you just talk about the stabilized yields that you’re projecting, and then how long until you get to stabilized occupancy?
Joseph Margolis: Sure. So we approved 14 C of O deals in 2017, that’s a pretty big drop off from the 38 C of O deals we approved in 2016. Seven of those we’ll do in ventures, that allows us to control the dilution, reduce our risk and get a little enhanced yield because of management fees and tenant insurance. The stabilized cap rate on those 14 deals was 8.2%. They’re all underwritten to stabilize within 36 and 40 months. But I’ve got to tell you, we continue to outperform that number, but we’re still underwriting between 36 and 40 months.
Todd Stender: Okay. Thank you.
Joseph Margolis: Thank you.
Scott Stubbs: Thank you, Todd.
Operator: Our next question comes from Ki Bin Kim with SunTrust. Your line is now open.
Ki Bin Kim: Thanks, and good morning, everyone. Could you talk a little bit about the changes and promotion usage during the quarter and maybe thus far this year? I noticed that there were a lot less advertised promotions on the web, at least. I wasn’t sure if that was a larger change in philosophy, or is it just down to timing?
Scott Stubbs: I would tell you it’s not a large change in philosophy. We’ve always used discounts through various channels. I think, if you look at the web that’s just one channel, but overall, our discounts are actually up. So if you’re only looking at the web and they’re down, that’s one channel.
Ki Bin Kim: And was that, because you were trying to program or train the customers not to be so used to getting promotions, or what was the reason behind that?
Scott Stubbs: I would tell you that all in an effort to maximize revenue. I mean, at the end of the day, that’s what we’re trying to do and we’re trying to adjust those channels a little bit on the margins as we go. But it’s going to vary by market, vary by channel at all times.
Ki Bin Kim: Okay. And just last question. If I look at your LA market and I know LA is a big market. Your rent per square foot is about 19. Your PSA is at 25, and I use them just because they’re a large competitor. And your New York rent is 22% versus 25% of your peers. Is there anything to say for the lower rent absolute number that might help some of your momentum in same-store revenue going forward?
Scott Stubbs:
.:
Ki Bin Kim: Okay. Thank you.
Scott Stubbs: Thanks, Ki Bin.
Operator: [Operator Instructions] Our next question comes from Rob Simone with Evercore ISI. Your line is now open.
Robert Simone: Hey, guys, thanks for taking the question. Just a quick question on the TIAA deal and then I have a follow-up. Is there anything on the table for 2018 that could look similar to the TIAA deal, a.k.a. is that kind of be like a funding source of choice going forward? And then also I was just wondering if you guys could comment at all on what type or what size of portfolio premiums you’re seeing out there right now?
Joseph Margolis: We don’t have a portfolio we’re currently packaging up to do a repeat of that type of deal. But that being said, it’s always an option for us. I wouldn’t say, it’s a capital avenue of choice. I would say, it’s one of many options we have. We always want to be in a position to have a certain segment of the portfolio teed up, where we could repeat that transaction in an effort to rebalance the portfolio and improve its quality. What was the second question?
Robert Simone: Oh, yes. I was just wondering if you could comment at all on what kind of spread or base point portfolio premium we’re seeing out in the market right now, given how much capital is out there?
Joseph Margolis: Yes, that’s a hard question. I guess, 50 basis points. But it’s – that’s a difficult question.
Robert Simone: Got it. So it really varies.
Joseph Margolis: There’s not a whole lot of transactions to give you a bunch of data points where you could come up with something if you’re real comfortable with.
Scott Stubbs: And also depend on what you call a portfolio. Is it four properties, or is it 36? I think, there’s a big difference.
Robert Simone: Right. Okay, great. Thanks, guys. I appreciate it.
Scott Stubbs: Thanks, Rob.
Operator: Our next question comes from Smedes Rose with Citi. Your line is now open.
Smedes Rose: Hi, thanks. I wanted to ask you, I’m sure you saw an addition to a bunch of management changes. PSA made an announcement that looks like they are going into the third-party management business as well after a number of years, there’s nothing in that section. I’m just curious as how you’re thinking about competition in that space, and if you have come up against them at all as you approach properties at your platform?
Joseph Margolis: Sure, Smedes, it’s a good question. So we’ve been in the partnership business, if you will, since 1998. It’s part of our our D&A, and we manage for other people. We’ve done it for the longtime and we think we’re pretty good at it. So, obviously, having another entry into the market to compete for market share is not a good thing, and we’re going to have to compete with them. And frankly, as long as we can put up numbers that exceed our competitors, we can have a very good argument about why people should choose us for management. But I also think that the overall pie is getting bigger. More and more people are recognizing that they need professional management that they can’t compete with the REITs. So while I – while it is difficult to see a new market entrance, then one that’s capable like PSA, I also think the pie is getting bigger at the same time.
Smedes Rose: Okay. And then I just wanted to ask you, there’s a lot. As you know, supply remains a big concern. You touched on it a little bit. But I mean, do you have a view as to whether or not the supply will peak this year in terms of just sort of nationwide new deliveries, or do you feel like it’s more of a 2019 event or later?
Joseph Margolis: Yes. I don’t think we have a strong view. It’s really difficult to have transparency into 2019 and see what’s going to be delivered given the fallout rate and in some markets the quickness, which some of these properties can be entitled and shovel stuck in the ground.
Smedes Rose: Okay, fair enough. Thank you.
Scott Stubbs: Thanks, Smedes.
Operator: Our next question comes from Todd Thomas with KeyBanc Capital Markets. Your line is now open.
Todd Thomas: Hi, thanks. Good afternoon. Joe, your comments about developers sort of pushing back a little bit for higher budgets or higher projections. What’s been your experience in those situations? Are they still moving forward? Are they getting the financing they need? Maybe opting to work with someone else? What sort of happened in those situations? And how big is the shortfall on average, would you say, between where you are and where the developer thought they’d be or needed to be?
Joseph Margolis: Yes. Unfortunately, I don’t have the answer to the last one. I got to have to go talk to our guys about that. But we do have a – we do – obviously, we can’t move our budgets to satisfy some bank or developer, because we didn’t have to deliver. So we can only produce budgets that we’re comfortable delivering on, and we’re seeing the higher fallout rate. We’re seeing that projects, at least, with us. They – more of them don’t get done.
Todd Thomas: So to your knowledge, sort of tracking those projects as far as you know that they’ve been abandoned or deferred for the time being?
Joseph Margolis: We see some probably a greater portion of them being abandoned. And there’s other high leverage sources of capital out there. There’s other ways to get deals done. But I think a good number of them get abandoned.
Scott Stubbs: Well, there’s also local management companies things like that. I mean, there’s local management companies. There’s other opportunities for them, but I would tell you, things are still getting done with banks. I think that the local banks, as well as some of the large banks are still doing a relationship lending, but it is more and more difficult.
Todd Thomas: Okay. And then, Joe, your comments about soft landing at the beginning of your comments. Can you just talk about what that means in the context of fundamentals? The deceleration that you’re forecasting in 2018 for revenue growth at 135 basis points, is that the bottom, or do you think that we could continue to see additional deceleration as we head into 2019?
Joseph Margolis: So it’s pretty early to start talking about 2019. But we’ve said that, we believe the industry is going to return to historical revenue growth numbers. And I would think by the end of the year, we would be there.
Todd Thomas: Okay. So growth – so you would expect growth to bottom out in 2018? You’ve historically said that your revenue growth is in a sort of 3.5% to 4.5% range, I believe over a longer period of time, right? And so we’re – you’re expecting that to be – you’re expecting revenue growth to be slightly below that longer-term average in 2018. And so by the end of 2018, you’d expect to get back into that longer-term range?
Joseph Margolis: Yes, that is our expectation. Now we could have some economic shock that we don’t all view or something happened. But currently, that’s our view.
Todd Thomas: Okay. And just lastly, Scott, can you just tell us where occupancy is today, and how that looks on a year-over-year basis?
Scott Stubbs: So occupancy is pretty close to where we ended the year. It’s down slightly from year-end just with the cyclical nature of the product. Your lowest occupancy is typically January, February, but it is year-over-year, it’s not that different from year-end and it’s in accordance with our plan.
Todd Thomas: Okay, great. Thank you.
Scott Stubbs: Thanks, Todd.
Operator: Thank you. Our next question comes from Ki Bin Kim with SunTrust. Your line is now open.
Ki Bin Kim: Thanks for taking my question, again. Just a quick one. Have you noticed any performance difference between assets of different physical quality or by the age of equality, or age of the asset?
Scott Stubbs: I think it depends on the location of the asset, the quality, the square feet per person in the market, it’s a lot more to it than just the age of the asset.
Joseph Margolis: How much capital has been put into it. I mean, clearly, your point is that, if you have two assets in the exact same market and one brand-new and one is old and hasn’t been taken care of, the brand-new one should perform better. But in old, capital stock asset can do very well in some other markets.
Ki Bin Kim: Yes, that’s right. I mean, I was looking at it all else equal. And are the developers generally doubling down in the markets they’ve already developed in, or do you see them moving on to different submarkets or different MSAs?
Joseph Margolis: Well, that’s a great question. I ask our ManagementPlus guys to give us kind of their observations before all of these costs, and that was one of the observations they gave us is, previously they saw people just inundating markets, and now they’re seeing people spread out some more. So yes, we do see that trend.
Ki Bin Kim: Okay. Thank you.
Scott Stubbs: Thanks, Ki Bin.
Operator: Thank you. Our next question comes from Vikram Malhotra with Morgan Stanley. Your line is now open.
Vikram Malhotra: Thank you. So I just wanted to clarify your comments about the 25 basis points impact from the changes in the pool. Is that a combination of the 30 stores that you disposed off of? And is there any ongoing benefit from SmartStop in that number? Is that separate, or is there no benefit?
Scott Stubbs: There is some benefit from SmartStop and then a – some benefit from the change in pool. So we’re growing from the 701 that we ended the year at. Two, we’re adding the 2016 acquisitions, as well as some certificate of occupancy deals that are now stabilized. The 2016 acquisitions are not going to add a large amount, as many of those were joint ventures or previously managed. So it’s a combination primarily of the C of O deals that are being added, as well as the little added benefit from SmartStop.
Vikram Malhotra: And that total is 25 basis points?
Scott Stubbs: Correct. It’s higher at the start of the year, going closer to zero at the end of the year. So if you think of it in terms of a line, it’s 50 basis points at the start and zero at the end for an average of 25.
Vikram Malhotra: Okay, thanks. And then just second, turning to West Coast, any changes you’ve seen in either San Francisco or LA in terms of maybe more LA in terms of new supply. Any sense of – do you see the market being as strong as it was last year? Are there any pockets of weakness? And just comparing to sort of some of the multifamily folks who are seeing maybe more deceleration than, at least, I thought. Just want to compare and contrast those two markets?
Joseph Margolis: So we are seeing some deacceleration in Los Angeles. There is a little bit of new supply, but nothing anywhere close to what we see in Florida or Texas or other markets. A lot of it is in Irvine and there’s a few in Los Angeles. San Francisco is – we see no new supply in San Francisco, at least, none that affects our stores. And that’s a market we actually – our 2018 projected revenue is accelerating is higher than in 2017. So these – those two markets are still very strong for us. I don’t think markets like that can be as strong as they were into 2015 and 2016 forever, but they’re still very strong markets performing above our portfolio averages.
Vikram Malhotra: And just, if I may, just to clarify, you said San Francisco is one of the markets that’s accelerating. Just can you give us a sense of maybe two other markets in that top band that are accelerating in your guide?
Joseph Margolis: Yes, I can give you exactly two other markets, because we have three. Maryland and West Florida, Naples are other accelerating markets.
Vikram Malhotra: Okay, great. Thank you.
Scott Stubbs: Thanks, Vikram.
Operator: Our next question comes from Nick Yulico with UBS. Your line is now open.
Trent Trujillo: Hi, this is Trent Trujillo here on for Nick, and thanks for taking the question. Maybe just getting into another market in New York looks like on your supplemental disclosure you combined, I guess, the boroughs with New Jersey. Is it possible to break out the performance of how your portfolio performed in the fourth quarter and the trends you’re seeing on the ground now?
Joseph Margolis: Sure. So absent the borough stores, our New York, New Jersey market had 4.5% revenue growth, 22% expense, so 6.3% NOI growth. We have eight stores in the boroughs, so pretty limited exposure. Our revenue in the boroughs was negative 2.5 and for a negative 2.9 NOI.
Trent Trujillo: Okay. And since you acquired or took on the tuck-it-away stores just kind of mid-year, how have those stores performed since they’ve been under the EXR brand?
Joseph Margolis: We’re still early in the transition, no storage needed significant attention to the physical assets. And we have spent a lot of time doing that, getting our people in there. But I would say, overall, they are performing at expectations.
Trent Trujillo: Okay. And maybe one more, if I may. On the same-store expense side,. I know there’s pressure that you spoke about with property taxes than perhaps other line items. But is there a potential for an offset or an expense reduction opportunity?
Scott Stubbs: We’re always looking for those, but it is typically smaller items. Our biggest pressure this year is coming from property taxes, which accounts for about a third of your expense and then your next largest or one of your largest expense item is payroll and it’s coming in just north of 3%, which is inflationary plus. But there’s not – anything else comes in below, it doesn’t drive the needle very much.
Trent Trujillo: Okay. Thank you very much. Appreciate the time.
Scott Stubbs: Thanks, Trent.
Operator: Thank you. Our next question comes from George Hoglund with Jefferies. Your line is now open.
George Hoglund: Hey, guys, two questions for me. One on the supply side. I mean, you had mentioned two markets, Atlanta and Portland, where you gave numbers of how many properties are facing new supply. And do you have a number just across the portfolio generally, how many properties are facing new supply in 2018 and what was the number in 2017?
Joseph Margolis: So it’s a little under 300 properties in 2018 and maybe closer to 250 in 2017.
Scott Stubbs: And that depends on the geographic…
Joseph Margolis: Yes, I’m sorry, this is – let me back up. This is a new supply opening within a three-mile radius. And we perfectly recognize that that is not – that’s a convention and not a totally accurate description of what new supply will affect you. In New York City, three miles is irrelevant. In other areas, three miles is too small. But to have some type of consistent approach in numbers, that’s what we used.
George Hoglund: And was your best guess for 2019 be greater or lower than 300?
Joseph Margolis: I don’t have a guess for 2019 at this point.
George Hoglund: Okay. And then just on the demand side, what’s your sense on how certain factors will influence demand in kind of 2018 things such as you have greater apartment deliveries overall, strengthening economy, more disposable income, how will that affect the demand side?
Joseph Margolis: Okay. Everything that we see and feel and experience tells us that demand is very, very steady, and there’s – we have no indication that demand is waning. The top of the funnel is very strong and growing and our job is to convert as many as possible.
George Hoglund: Okay. Thanks, guys.
Scott Stubbs: Thanks, George.
Operator: Thank you. This does conclude our Q&A session today. I would now like to turn the call back to Chief Executive Officer, Mr. Joe Margolis for any further remarks.
Joseph Margolis: I want to thank, everyone, for their participation today and interest in Extra Space. Have a good day. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may all disconnect. Everyone, have a great day.